Operator: Greetings and welcome to the La-Z-Boy Incorporated Fiscal 2016 Fourth Quarter and Full Year Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Miss Kathy Liebmann, Director IR and Corporate Communications. Thank you Miss Liebmann, you may begin.
Kathy Liebmann: Thank you, Michelle. Good morning and thank you for joining us to discuss our fiscal 2016 fourth quarter and full year results. With us today are Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer; and Mike Riccio, our Chief Financial Officer. Kurt will begin today's call, and then Mike will speak about the financials before turning the call back to Kurt for his concluding remarks. We will then open the call to questions. A telephone replay of the call will be available for one week beginning this afternoon. Slides will accompany this presentation and are available for viewing through our website link. These regular quarterly investor conference calls are one of La-Z-Boy's primary vehicles to communicate with investors about the Company's current operations and future prospects. We will make forward-looking statements during this call, so I will repeat our usual Safe Harbor remarks. While these statements reflect the best judgment of management at the present time, they are subject to numerous future risks and uncertainties as detailed in our regular SEC filings, and they may differ materially from actual results due to a wide range of factors. We undertake no obligation to update any forward-looking statements made during this call. And with that, let me turn over the call to Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer. Kurt?
Kurt Darrow: Thank you, Kathy, and good morning, everyone. Yesterday afternoon we reported excellent results for fiscal 2016 and the fourth quarter. We continue to make strong progress in the execution of our strategic growth initiatives while improving the efficiencies of our operations and this translated into the fifth consecutive year of sales and operating income increases. We are also delivering on our corporate vision to enrich peoples lives by turning houses into homes. By providing great product, services, comfort and quality with the ability to satisfy both our shareholders and customers simultaneously giving us tremendous satisfaction. Before reviewing the quarter, I would like to run through the highlights of the full fiscal 2016 year. And to note, fiscal 2016 included 53 weeks with the additional week having an approximate two percentage point impact. For those of you new to our story our fiscal year ends on the last Saturday of April and every five or six years due to the way the calendar works we have an extra week in our fiscal year. For fiscal 2016, our sales increased 7% with improved efficiencies, our operating margin reached 8% for the year, the highest in 13 years and diluted earnings per share increased 21.1% to $1.55 despite the impact of the previously announced $0.07 per share charge related to a pending legal matter. This charge impacted our consolidated operating margin by 0.4 percentage points. Over the past five years our EPS has increased 278% and in addition to operating cash flow exceeding $100 million this year our balance sheet remains very strong with $112 million of cash on hand, access to additional lines of credit and virtually no debt giving us the financial flexibility to execute our growth initiatives, reinvest in the business and move into the future with a solid foundation. As referenced a moment ago throughout the year we delivered strong execution against our four strategic growth initiatives. Just halfway through our 4-4-5store build out plan, we achieved a second four in the 4-4-5 moniker, $4 million in sales as an average per store. Second, we are working to expand the distribution of all of our company’s product lines. La-Z-Boy, England, Kincaid, American Drew and Hammary as we have some $700 million in sales through distribution outlets beyond the La-Z-Boy store network as well as our increasing global presence where we see great opportunity. Third, we continue to increase our retail scale by opening and owning a larger percentage of the La-Z-Boy furniture gallery network. And fourth, we are leveraging the powerhouse La-Z-Boy brand beyond the iconic recliner as we expand our market share in the stationery category of the upholstered furniture market. Now, let me take a few minutes to review the three operating segments for the fiscal 2016 fourth quarter. And as a reminder, the extra week in fiscal 2016 which occurred in the fourth quarter improved our quarterly sales by approximately 8 percentage points. For the quarter, sales in the Upholstery segment increased 9.7% to $335 million versus last year's fourth quarter. For the period the upholstery margin achieved an 11.8% operating margin, an increase from 11.6% in the comparable quarter last year. We achieved a strong operating margin performance despite the $5.5 million accrual for our pending legal matter associated with a lawsuit over a contract dispute which had a 1.6% drag on the operating margin for the segment. However, even with this charge we outperformed the prior year quarter, a result that increased volume and our ability to leverage the fixed cost structure of our manufacturing facilities as well as supply chain savings which include procurement and planned efficiencies. Our supply chain operational excellence initiative or SCOE as we call it is delivering results. Overall our in stock position for manufacturing supplies, raw materials and finished goods has improved substantially allowing us to improve our delivery speed to customers. And as part of our scope process our global trading company established late in fiscal 2015 in Hong Kong with a mandate has streamlined overseas sourcing of finished goods, component parts and raw materials is also providing tremendous value. And finally our plants are improving their efficiencies driven partly by the ERP system implementation which was completed in all of our residential plants early in fiscal 2016. Since that time we have been realising the benefits of a truly integrated system in terms of better information flow and data visibility which in turn allows us to improve our service to our customers. We are working on a sales board and management component of this system and plan for that implementation throughout fiscal 2017. On the merchandising side we are enjoying success with our broad power product range which continues to increase in popularity. At the April highpoint market we introduced an articulating headrest on a number of our motion styles to provide proper head support within a reclined position. Within our stationery line, we are expanding our selection and offering multiple style choices to keep up with today’s trend or most importantly providing consumers with a legendary comfort that is the hallmark of our brand. Our Urban Attitudes collection targeted for smaller spaces remains a key collection and we continue to introduce new styles within that assortment. We were very excited to introduce this past April an exciting new fabric program called iClean from Culp, which uses innovative technology to surround each fabric fiber to repel spills. We are offering approximately 65 fabrics in the line which will be available on most La-Z-Boy styles and was extremely well received by our dealer base and believe the line has a great potential with consumers. Meeting the consumer where she wants to be met is of paramount importance. In addition to our advertising platform playing a key role on television and imprint media, it also permeates our desktop and mobile websites and all of our social media platform enabling us to canvass the market place with targeted messages. Most importantly, we are available to the consumer through whichever outlet they prefer. During fiscal 2016 we launched a totally new desktop, mobile and e-commerce side technology platform and developing a more dynamic and intuitive digital experience within the new la-z-boy.com we can more powerfully connect with our customers helping them bring to life their vision of living life comfortably. We believe we have created a digital experience that will evolve the brand to new levels, and our team continues to fine tune the site to provide the best user experience for the consumer. As part of the new website launch, we updated our e-commerce site to ensure we are providing a best in class digital experience making it easier for customers to be inspired and informed about our products and to shop in a manner that best suits their needs. Traffic to our site continues to increase and there is much anecdotal evidence the consumers are spending a lot of time researching frames and fabric selection before they visit either the La-Z-Boy furniture gallery store or one of our other distribution outlets. While we continue to believe that most consumers will prefer to make their purchase in a store, we are committed to offering them a variety of means to browse, collect information and shop so they can indeed, so we can indeed meet them where they find it most convenient. Throughout this process we have also been implementing a marketing cloud, a technology platform that consolidates data and enables us to personalize digital content so we can maximize our investment by ensuring our communications are timely, relevant and compelling. With respect to our 4-4-5store build out strategy we are making steady progress expanding the La-Z-Boy furniture gallery store network and as mentioned early we are pleased to have already achieved the $4 million in average revenue per store. This was an exciting milestone and gives us great confidence in what we are doing with the La-Z-Boy brand with respect to the stores, the network build out strategy, merchandising and our product offering. Our 4-4-5 goal is to create a $1.6 billion retail business through the La-Z-Boy furniture gallery network and with the progress to date we are well on our way to achieving that objective. And if we do not hit the 400 store number by the end of the five year period due to some real estate obstacles we still believe that the revenue performance of the stores will deliver the same economic value, $1.6 billion at retail. For fiscal 2016 throughout the network 28 projects were executed including 16 new stores and 12 remodels bringing the store count to 338 with 89 in the new design concept format. As we talked about in the past a key part of the 4-4-5 is changing our old format stores into the new concept design as those stores are performing at a higher revenue level than our other formats. Looking ahead to fiscal 2017, we have approximately 25 to 30 projects scheduled to be completed and expect to end the year with approximately 120 stores in the new concept designed format and 350 stores in total. And when 4-4-5 is complete, our expectation is to be -- is to have about half the stores in the new concept design and the other half of the new generation format. Written same-store sales for the La-Z-Boy furniture gallery network for the fiscal 2016 fourth quarter increased 2.2%. As a note, same-store written sales are reported on a comparable basis meeting the extra week in the quarter to not apply to the written same-store sales increase. Now let’s turn to Casegoods. Sales for the fiscal 2016 fourth quarter were $26.3 million an increase of $1.6 million from last year’s fourth quarter. The operating margin for the segment increased to 6.2% versus 4% in the comparable period last year. Our operating margin performance demonstrates the pure-import model is working well and as a result we believe we will see more consistent performance in this business moving forward. Our team is working to drive sales and has been refreshing our product lines to reflect more up to date lifestyle looks that are more appealing to the day’s consumer as their taste in homes become less formal. As a result at the high point market in April American Drew introduced a great new collection called AD Modern, which was met with a lot of excitement throughout our dealer base. We expect that to hit retail floors in September and believe it has great potential. On the process to revamp the operations and product lines of our Casegood companies has been lengthy we are optimistic about the potential for this business. Now moving onto retail. We are extraordinarily pleased with the way our retail business has grown over the past few years and particularly with its performance improvement. For fiscal 2016, the retail segment was about a quarter of our overall business hitting a milestone with sales exceeding $400 million and we expect further growth. I will speak more about that in a moment. Additionally, we more than doubled our operating profit versus fiscal 2015. For the fourth quarter delivered sales in our retail segment increased 26% to $109.2 million. And the core base of stores included in the last year’s quarter sales increased 13%. The operating margin for the segment was 5.8% up two percentage points over last year’s comparable quarter demonstrating the efficiencies with which we are running the business and our ability to leverage the segments fixed cost structure with improved volume. Sales from our company owned La-Z-Boy furniture gallery stores provide us with the greatest level of profitability due to our integrated retail model where we benefit from the combined margin earning a profit on the wholesale and retail side. Additionally as the retail business becomes a larger portion of our overall business, we will benefit from its’ increased size due to the higher gross margin it carries compared to our other businesses. As part of our 4-4-5 progress we are operating new stores and are also acquiring stores from independent dealers. During fiscal 2016, we acquired 11 La-Z-Boy furniture gallery stores. Two in Wisconsin, two in the Carolinas, six in Ohio and one in Fort Collins, Colorado. And as we begin fiscal 2017 we acquired a store in Reno, Nevada. As of note, the Fort Collins and Reno stores are two of the highest performing stores in the system and the highest volume individual stores we have acquired to date. We have done well in integrating all 12 of these stores into our portfolio and they have been accretive to the business from the start. I would like to take a moment to thank Jason Johnston, the owner of the Fort Collin store and Don and Becky Gruner the owners of the Reno store. As part of the La-Z-Boy family for many years they were very committed to our brand and its evolution overtime. They built great business and we wish them all the best in their retirements. During fiscal 2016, the Company opened La-Z-Boy Furniture Galleries stores bringing our company-owned store count to 124 including the 11 stores acquired. For fiscal 2017 we are planning to open six new stores in addition to the remodel activity and believe there will more – there will be other acquisition opportunities ahead of us. I will now turn the call to Mike to review our full year financial performance.
Mike Riccio: Thank you, Kurt. As a brief conclusion of Kurt's discussion about the fourth quarter, consolidated sales for the fiscal 2016 fourth quarter were $417 million, up 11% compared with last year's fourth quarter. As Kurt mentioned earlier, the fiscal 2016 fourth quarter included one additional week with the extra week increasing sales by approximately 8 percentage points. Consolidated operating income increased 16% to $34 million, compared with $30 million in the fiscal 2015 fourth quarter with the consolidated operating margin increasing to 8.2% from 7.9%. The Company reported net income from continuing operations attributable to La-Z-Boy Incorporated of $22.7 million or $0.45 per share which has mentioned earlier included previously announced $0.07 per share charge for legal matter. This compares with last year's fourth quarter results of $19.8 million or $0.38 per diluted share, which included a $0.01 per share restructuring charge and $0.01 per share of anti-dumping income related to the Company's Casegoods segment. As a note, the approval for the legal matter had a 1.3 percentage point impact to our consolidated operating margin for the quarter. Consolidated sales for fiscal 2016 full year were $1.53 billion, up 7% or $100 million higher than last year. The fiscal 2016 year included 53 weeks with the extra week increasing sales by approximately 2 percentage points. For the year consolidated operating income increased 19% to a $122 million, compared with $103 million in fiscal 2015, with the consolidated operating margin increasing to 8% from 7.2%. The Company reported net income from continuing operations attributable to La-Z-Boy Incorporated of $79 million or $1.55 per share, which included the previously announced $0.07 per share charge for a pending legal matter and a charge of $0.01 per share for the restructuring related to the Company's Casegoods segment. This compares with fiscal 2015 results of $67 million or $1.28 per diluted share which included a $0.02 per share of anti-dumping income related to the Company's Casegoods segment. Again the approval for the legal matter had a 0.4 percentage point impact to our consolidated operating margin for the year. Our consolidated gross margin improved 2.8 percentage points in fiscal 2016 versus fiscal 2015, reflecting improvements of all three business segments. Additionally, we experienced gross margin improvement due to the change in our consolidated sales mix. As retail now comprises a higher percentage of overall business and carries a higher gross margin compared to the wholesale segments. In Upholstery, supply chain efficiencies, favourable changes in our product mix and leveraging the benefits of our ERP system in our branded Upholstery plants improve the segments margin. Our retail segment benefited from increased custom and in-home design orders, which generated a higher gross margin than in-store sales and our Casegoods segment, improve this gross margin due to the transition to an all import model. SG&A as a percent of sales increased 2.4 percentage points in fiscal 2016 compared with fiscal 2015. Professional fees and legal cost were 0.5 percentage points higher primarily due to the legal fees in the $5.5 million accrual for the pending legal matter associated with the lawsuit over contract dispute. We also had increased spending for our continued ERP implementation and new e-commerce website. The pending legal matter referred to earlier is currently under review by the Court and Court could overturn the verdict which could result in the entire accrual being reverse. Additionally, if the verdict is overturn that decision could be appealed which could result in additional expense in future periods in defence of that appeal. We also had a higher cost for depreciation associated with our new world headquarters, as well as higher incentive compensation cost primarily due to the improved financial performance this year against incentive based targets compared with our performance last year against this target. And as I mentioned in my discussion of gross margin, as retail becomes a larger part of our consolidated business our SG&A as a percent of sales will increase because retail carries higher SG&A expenses when compared to our wholesale segments. Before turning to the balance sheet, I'd like to go through a few items that are important for fiscal year 2017. First, raw material economics, we do not see meaningful increases over fiscal 2016, although steel prices have increased over the past month and could have an effect on us after our current contract expire. Second, capital expenditures, we expect total capital expenditures for fiscal 2017 to be in the range of $35 million to $40 million. For fiscal 2016 there were about $25 million. The increase to CapEx relates primarily to upgrades to our plants and machinery equipment in order to maintain our competitive edge. CapEx does not include store acquisitions. Turning to the balance sheet. During the quarter we generated $43 million in cash from operating activities and for the year we generated $112 million. We ended fiscal 2016 with $112 million in cash and cash equivalents, $34 million in investments to enhance returns on our cash, and $9 million in restricted cash. For the full fiscal 2016 year we spend $44 million to purchase $1.7 million shares including 600,000 shares in the fourth quarter. This leads 4 million shares in the program for purchase and based on cash flows and other capital needs to invest in the business to drive growth, we plan to continue to be opportunistic in the market with respect to buyback activity. We also paid $18 million in dividends returning a total $62 million to shareholders when combined with our share purchases. We will continue to use our cash prudently during fiscal 2017 with our first focus to invest in the business to drive growth. The second, to pay our dividend and depending on how much we spend on those first two items, the third would be to buy shares. Our effective tax rate for continuing operations was 35.3% for fiscal 2016, impacting the rate for the year with the tax benefit of $0.3 million for the release of valuation allowances relating to certain U.S. State deferred tax assets. Absent discrete adjustments, the effective tax rate for continuing operations in fiscal 2016 would have been 35.6%. From modelling purposes we expect our effective income tax rate to be in the 36% range for fiscal 2017. Before I turn the call back to Kurt, I'd like to remind you of two things. First, fiscal 2017 will be a 52-week year. So please keep that in mind as you think about next year. Second, our first quarter is typically the weakest in terms of the sales and earnings due to a general slowdown throughout the furniture industry related to the summer period. As a result of this, we closed down our manufacturing facilities for one week in July for vacation and maintenance. With lower volume during the period and addition to one-week without production and shipments we historically convert our lower rate during the first quarter. And now, I'll turn the cal back to Kurt for his concluding remarks.
Kurt Darrow: Thank you, Mike. As we execute our multi-pronged gross strategy to-date, our team remains nimble and is at work developing the next set of initiatives to drive growth well into the future. Well, this is premature to expand further upon the potential of those initiatives, I am invigorated by the creativity, the thought-processes and the analytics, our team is applying to the ongoing development of our strategy growth initiatives. Importantly, we challenge ourselves everyday to ensure we include in our decision making as the competitive landscape continues to change. Though there had been many twist and turns through the decades today our Company is positioned as well as that has ever been. Our brand remains the most recognized in the industry. Our distribution network is vast and varied and we are providing consumers with many options to learn about our product and shop for it. I'm very proud of our team who operates the business with vigour and in innovative spirit and I'm confident the path ahead will be exciting as we continue to drive sales and earnings while investing in the business to provide long-term sustainable growth and earnings momentum. I want to thank all of you for your interesting in La-Z-Boy Incorporated. I will now turn the call over to Kathy to provide instructions for getting into the queue for questions. Kathy?
Kathy Liebmann: Thank you, Kurt. We will begin the question-and-answer period now. Michelle, please review the instructions for getting into the queue to ask questions.
Operator: [Operator Instructions] Our first question comes from the line of Brad Thomas with KeyBanc Capital Markets. Please proceed with your questions.
Brad Thomas: Thank you. Good morning, Kurt, Mike and Kathy and congratulations on another great year here.
Kurt Darrow: Thank you, Brad.
Brad Thomas: Couple of questions if I could, the first was around the update of your web and mobile sites and Kurt I was wondering if you share any early learnings, if perhaps how the customer is using the site differently and how these upgrades sites might benefit your business going forward?
Kurt Darrow: So, I think two of the large measurements that you watch with your web traffic and access for the site is, are you actually having increased traffic. And number two, how much time are they spending and what are they looking at. So, we believe that the longer they spend on the site the more probable they are going to shop for our products. And so we're seeing increases in both of those and also finding that they are using all types of different devices to communicate with us. So, being able to have a broader view of the customer and how he wants to interact is been valuable and we watch those other two metrics pretty closely.
Brad Thomas: Great. And then with respect to ERP, I guess the couple of questions about it. For one, maybe could you quantify some of the benefits that you might be starting to see here in fiscal 2017? And then, could you just give us an update on what the next steps are in terms of the rollout and if there any quarters that we might be more mindful of potential risk if you're changing things over within the retail store itself? Thanks.
Mike Riccio: So, I think it's very obvious to us that the largest benefit right now in addition to some financial benefit from being more efficient, but our ability to service the customer has improved dramatically. Our on-time shipping percentage is at an all time high, our late orders are at all time low. We're shipping 95 plus percent and five – four weeks or less. So the availability to consistent data and the availability to see end-to-end has been a great benefit for not only the company, but actually for all of our customers and dealers who interact with us. So I think that's the biggest takeaway so far that we have, and again, as I said in addition to the efficiencies and productivity. We are in the final stages of the E1 implementation and we're putting in the front end of the system. And any time that you touch legacy systems and change them over and have this many users as we have, there could be some risk, but we are taking the same approach with this implementation as we did with the plants and supply centers. We're taking one bite at a time. We're not trying to go to the big bang theory. We're not going to put all of our systems to a changeover at once. So, we wouldn't anticipate any kind of huge risk or one quarter where there's a huge financial drain to us. And our experience over the last five years of going through this journey had made us very cautious and disciplined about how we do this. So, something could happen but that's not in our view right now, Brad.
Brad Thomas: Great. And then just to connect the dots with the updates on ERP and the balance sheet. I believe in the 10-K it shows your backlog down about $20 million from $71 million last year to $51 million at the end of this past year. Can you just help us connect the dots and how much that efficiency versus perhaps what you're seeing out there in terms of customer demand?
Mike Riccio: Well, our customer demand has remained steady based on our results and we did have growth, so the majority of that reduction in backlog is not having late orders and hitting our prime states and cleaning up things that had been out there longer than they should have been. So, most of that is an acceleration of service which took our backlog down.
Brad Thomas: Perfect. I'll turn it over to others. Thanks so much and congratulations again.
Kurt Darrow: Thank you, Brad.
Operator: Our next question comes from the line of Budd Bugatch with Raymond James. Please proceed with your questions.
Budd Bugatch: Good morning Kurt, good morning, Mike, good morning Kathy. Congratulations as well.
Kurt Darrow: Thanks Budd.
Budd Bugatch: I think if I understood right, the increase in sales for the extra week was 8% and I think that was probably evenly spread across the segments, is that a right way to think about that?
Mike Riccio: Yes. On average the 8% is across all segments, yes.
Budd Bugatch: Okay. And I hear the increase in sales, if I missed the increase in earnings because of the extra week, I apologize, but I didn't hear how that factored into earnings, were there any accounting issue that might not get repeated with the 52-week year?
Kurt Darrow: No. I mean, we had a normal sales and conversion on those sales based on our costs and nothing really was out there that we would want to call out on this call.
Budd Bugatch: So, nothing to be concern on that, and if you did quantify that the extra PPS impact of that, Mike, what that be or I can do the math, but I haven't don't yet, because I thought there might be some flavors in that?
Mike Riccio: I think the math is there. It's pretty much our conversion based on the sales and using our tax rate, so I don't have that number, off top of my head.
Budd Bugatch: Okay. You talked about the elevated CapEx for the year, how does that factor into the quarters? Have you already started to see that? Is it more evenly spend? How is that going to flow through the year quarter-by-quarter or period-by-period?
Mike Riccio: Well, it will be pretty evenly throughout the four quarters, but we anything we can for machinery and everything we try and do in the first quarter when we do our shutdown, there will be less disruptive in the plant. But a lot of these equipment changes that we're doing as well and the remodels we're doing in our plants. What will be done outside of the production environment so that they should not have any issues there, but we try and do these pretty much evenly throughout our four quarters.
Budd Bugatch: Kurt, where you need upgrades in the equipment, is it La-Z-Boy, is it England [ph], is it both. And what's the competitive edge you're trying to achieve there?
Kurt Darrow: Well, I think about it differently, Budd, you know we have older plants, because we had them a long time and we probably under invested in them to keep them fresh and you know simple things as bathroom remodelings and a roof and air-conditioning and some of the other things that just need to have happen. And so equipment wise our routers were out everywhere. We run our equipment hard. We run it a long time, but some of its time to replace, also in there is continuing to upgrade our transportation fleet particularly at England with new equipment as well. So it just -- we have a big infrastructure and we have to keep it moderate. We don't want to get behind. And so, we're going to over the next probably two years touch every one of our manufacturing facilities with some much needed refresh and some maintenance things that have been put off.
Budd Bugatch: And so as we look, this is a more of two-year elevation, is that the way to think about it?
Kurt Darrow: Well, I mean, it could be depending on timing of things, depending on whether the good thing is most of our plants are in south, so they don't have to take the winter off for building and also we don't – we're looking to sequence this. We're looking without getting bids on certain things. It isn't tighten down to where I can give you that those specifics, but suffice to say, our CapEx will be a little bit higher and given that the enterprise is continuing to rise and there is CapEx in there for stores and other things. So, I think this CapEx percentage as a percentage of sales is not much different than five years ago, we were spending 25 million. We're $400 million larger and we got to continue to reinvest.
Budd Bugatch: Okay. Mike, I've got like -- projecting like $28 million in depreciation and D&A for the year, is that a reasonable number or did you give a number, I don't think I heard that either?
Mike Riccio: No. That's a reasonable number. That's about range we're going to be in.
Budd Bugatch: Okay. And last question from me is advertising, you elevated it little bit this year, you have more retail, how does that factor in and what do you think for this year?
Mike Riccio: So, Budd I think we had – we did elevate the dollars spend, but I'm not sure the overall percentage spend on all of our marketing for all of our brands and all of our companies, I don't think it was up percentage wise very significantly. The one change that we have on our horizon for next year is there are certain markets where we think we've got an opportunity to raise our share of voice where we're not as pleased with some of the traffic counts who are getting into certain DMAs. So we may do some testing and learning about how we can attack those things, but we're not doing at nation-wide or at a wholesale -- on a wholesale basis. We're picking target at things where we think we have some opportunity.
Budd Bugatch: Okay. I'll let others to go from here. Thank you very much.
Kurt Darrow: Thank you, Budd.
Operator: Our next question comes from the line of Matt McCall with BB&T Capital Markets. Please proceed with your question.
Matt McCall: Thank you. Good morning everybody.
Mike Riccio: Hi. Matt.
Matt McCall: So, maybe start with the Upholstery margin, I think we strip out the legal, it's over 13%. I wouldn't expect that, so good job. Can you talk about the outlook from here? Is there a way to look at that from a conversion standpoint? I don't really know, because one of things you brought up Kurt was the SCO, I think you said it was SCO, supply chain initiatives. Is that playing a part in this? I'm assuming that it is. But if it is can you quantify the savings today than what you expect?
Mike Riccio: Well, I think with all of our numbers that you have to look on an annual basis. So, there's going to be one quarter or year that retails make its best margin because that's the quarter it has the most volume. And the fourth quarter is in wholesale when we have the most volume. So to say that you can replicate that every quarter of the year and that's going to be our annual like a little bit of stretch. But one of things about our supply chain team that has done thing is if you always have the materials on hand than your workers don't have to take any interruptions. And they can work a full schedule without changeovers and everything. Your efficiencies do go up. And so that's been a big benefit for us. And we're continuing to find ways to be more and more efficient and take cost out. But we've also had favorable economics and favorable raw materials and that doesn't last forever either. So, it was a wonderful job that our operations and supply chain team did this year. There is no doubt about that. And we would expected to continue, but I'm not sure year-after-year we're going to be able to double down, now that we've caught up on things that are at a run rate.
Matt McCall: Okay. So, the 13.5% understand the full year view, but is the new baseline or do we still understand seasonality of the business, but we talk about run rate of these benefits are all of the benefits that you expect in that run rate that was in that 13.5% or there are more savings that's coming?
Mike Riccio: So, one of the problems we're talking about places where you save money and everything. We don't ever seem to talk about places that cost us money, so unless you got the different plan than we do healthcare keeps going up, our wages are going up, all this kind of things, so we try to find efficiencies in savings to offset some of that so we can keep our values to the customer at a good level and return value to our shareholders, so, to give that we could save a couple of million dollar here but our healthcare to go up $5 million. So, I'm not sure I want to get into that debate, but we're comfortable that we should be in the low double-digit range of operating margin in our Upholstery business. And we're not prepared to raise that to 15% or anything like that. So, that 10% to 12% whatever range we've been in we believe that's possible on an annual basis and we'll work hard to beat it, but right now I can't give any indication of seismic change in our view.
Matt McCall: Okay. That's fair. But is the same true for other two segments, mid single-digit I think is what we've talked before that's kind of where they were mid-to-high this year is there anything that it sounds like…?
Kurt Darrow: Well, I think with volume we have opportunities to raise both of those, but we just got to 6.5% in the retail business from a loss position five years ago, so we feel good about that, but we don't feel that's the top, but you need to let us perform at that for a little bit of longer period. And as we add more stores and we acquire more stores we would expect that to go up, but I'd like to see it go up before I tell you that we can maintain it.
Matt McCall: Got it. That's fair. Last question, I think you said in the release the plan is to own 40% to 50% of the stores and as part of the 4-4-5 strategy, I think the goal previously was taken 30% up to 40%, now you're bringing 50% into it. If I miss it, was that a change in language and if so what has changed?
Kurt Darrow: No. I think our target for the last couple of years has been right around the 40% range, and so we still have a lot of places where the company can open stores. But we are surprised we're having more interest from some of our long standing dealers to talk to us about retiring and so that's maybe accelerated the point a little bit. But I only think that's probably two, two and a half year window and anybody that's interested is probably will have raise their hand by then and we will either do something with them or pass. But I don't think it's an ongoing thing that we'll be buying 11, 12, 15 stores a year, every year for the next five years. We have a lot of very strong individuals and families who own the majority of the independent La-Z-Boy stores that are in for the long-term and they have no interest in selling and we've got plenty to do with what we have.
Matt McCall: Okay. I'm sorry; I want to sneak one more and just because I thought. You mentioned the efficiencies in the factories you got the material where you can things out more quickly. I think that implied service levels are up. Is that – as I think about same-store sales looking forward and all the factors that go into it, your comp scale little bit tougher. Are the opportunity is associated with this, with the improved service levels, how much are they're going to help going forward or they kind of –how much of they're making a difference in the transitory at retail?
Mike Riccio: So, I think the help – most of the help we got last year, I mean, being in stock, servicing better all that, but we don't have a backlog of late orders. We got that cleaned up, so that's a one-time gain if you would. And now we have you know to produce it we have to sell it and that’s a good position to be in, because we can service better but I -- there is not nearly the opportunity to improve our late orders with last year. We have probably less than 2% of our backlog that’s outside of four weeks, so that’s not a very big number. But the other thing that I think we need to think about when you talk about La-Z-Boys growth and their sales, the -- and I understand this is typical with pure retailers and all. But when you look at our same store sales and that is an indicator, that’s only half our business. So we have thousands of other important customers throughout North America that we have no visibility into their samestore sales or their growth pattern everything like that and we think have in half our business with the store program and half our business with the general trade is a competitive advantage and so we don’t derive all of our growth from just the store activity and I think I want to be sure investors understand that.
Matt McCall: All right. Thank you Kurt.
Operator: Our next question comes from the line of John Baugh with Stifel. Please proceed with your question.
John Baugh: Thanks and congrats to the team on a great quarter and year. Most have been answered just a couple of quickies, one, I assumed the one last week this year will fall into Q4?
Kurt Darrow: It does.
John Baugh: Okay. And then I can’t believe we’ve gotten this far end of the call and nobody has asking for that current business trends, it is seven and plus weeks since your year end and we’ve heard fairly constructive things around memorial day but in general still pretty sluggish trends and anything you would add current to what you are seeing and I understand the seasonality in week Q1 compares?
Kurt Darrow: Yes. I think you clocked it pretty good John. You know I would call it inconsistent. There’s pockets that are pretty good in other places that are not. Memorial Day was strong for the industry and us as well but you know that’s four days. That’s not necessarily a trend, and so I think there’s some uncertainty with the customers and some nervousness and I -- we try to find our way through that and find different ways to do things and you know so other good data points about housing are encouraging and well as low as in home depot are doing that would tell you that people are investing in their house, so it’s certainly not doing good, and we’ve been challenged a little bit with our North America footprint because Canada, even though we have a reasonable increase in wholesale in the fourth quarter, our Canadian business was 3%, 3.5% behind last year on the wholesale side. So we overcame that and we’ve posted a 2.5% increase. So it is a -- it would seem to me with housing starts where they are at with interest rates lower, with energy lower that it would be easier to grind out 1%, 2%, 3% but you got to fight for it and that’s what we are doing.
John Baugh: Understood, yes. And then last one, I guess maybe directed to Mike, is there enough data on the cash amounts you’re comfortable carrying and it sounds like at least in the next year or two there might be still considerable acquisition opportunities for stores which of course you don’t -- or forecast but just curious as to how we are thinking about all the cash we are generating and what balance you will indicate [ph] on the balance sheet and how much might you get taking off through acquisitions or anything else we don’t know about?
Mike Riccio: Well I think Kurt and I haven’t changed our position on the $80 million to $100 million in cash is what our comfort level is and since we have been on the acquisition mode we do consider that and looking at what our free cash is and how we are going to invest it. So, we have said consistently that if we can’t find ways to invest in the business to grow it after our dividend will be out there and buying shares. In this last quarter we brought 600,000 shares which is a little above what we had spent the previous two quarters at about 400 and some thousand shares right around 400. So we considered that, but as we go through the summer and look at some other opportunities for some other dealers we’ll consider that into our cash flow needs and spend accordingly.
John Baugh: Great. Thanks and good luck.
Mike Riccio: Thank you.
Kurt Darrow: Thank you, John.
Operator: Our next question comes from the line of Anthony Lebiedzinski with Sidoti & Company. Please proceed with your question.
Anthony Lebiedzinski: Hi good morning guys, thank you for taking the questions. So just a follow up about the Canada, the 3% to 3.5% decline was that in local currency or translated to U.S. dollars?
Mike Riccio: It is translated to U.S. dollars.
Anthony Lebiedzinski: Got it, okay thank you for that. And also, would it be possible for you guys to quantify the benefits from the global trading company that you’ve set up in Hong Kong and what additional improvements do you expect to achieve from that?
Kurt Darrow: So that’s all part of our larger supply chain initiatives and it’s -- the benefits are about service, the benefits are about logistics, the benefits are about quality and savings. So it’s a multi faceted organization we have over there that virtually all the factories where we buy are Casegoods and our fabrics and leathers. And it’s just being more organized, having a coordinated, being on the ground more frequently and then sourcing things where appropriate and so we are receiving benefits again, we are probably not knowing to got to quantify from a dollar standpoint because as I said earlier when you start doing that we’d have to quantify all the other things that are going to be going up and we try to save as much throughout our operations through innovative ways and efficiencies we try to save as much as we can to increases that we get in other parts of our business so that’s just a mindset we’ve had for the last five or six years and one of the reasons we’ve been able to grow our gross margin as well.
Anthony Lebiedzinski: Got you. And also Kurt you mentioned that before the introduction of iClean and -- well what’s the potential ASP impact with the addition of that?
Kurt Darrow: Well it’s a little higher grade fabric than our average not a lot, it’s priced very competitive but you know it has instead of just putting a topical spray or chemical on furniture this is actually weaved into the yarns that have the fabric repel the spill and the other thing is it’s got great colors and decorative patterns where normally most of those things are flat suedes and not the same. So we think it’s going to be fantastic and we were able to negotiate with our partner [Indiscernible] a launch exclusive so La-Z-Boy has this exclusively for the first six or eight months and we think that’s very important to be the first mover in this and we expect it to do very well but I can’t quantify numerically what that’s going to mean.
Anthony Lebiedzinski: Got it, okay. And lastly, last year you guys had a small store test in the Washington DC market there. Any updates on that?
Kurt Darrow: So we did open a store right before Thanksgiving in Logan Circle which is about three blocks from the capital. We are learning a lot about it. It’s growing in momentum. We believe there is some changes we need to make to it both in the interior and with some of the marketing, but you know our overwriting belief is this trend towards moving into urban areas both for younger people and even older retirees. We don’t think it’s a fad, we think it’s something that’s going to continue and so this is the first of many of these stores that we are going to open because we don’t believe those customers are going to drive out to the suburb where we have our other 350 stores and we are going to do our best to figure out how to serve that customer.
Anthony Lebiedzinski: Got it. Okay, thank you very much.
Kurt Darrow: Thank you.
Operator: [Operator Instructions] Our next question is a follow up question from Budd Bugatch with Raymond James. Please proceed with your question.
Budd Bugatch: Yes I had a couple of just follow ups. One, you talked Mike a little bit about the cost increases atleast in steel that you are potentially seeing. Any price increases implemented or expected this year to the extent that you are willing to talk about Kurt?
Kurt Darrow: Well I think our strategy, our philosophy Budd has been and I think it’s coming closer not just to ours but the industry cause wages and other things go up and we got to find a way to offset that and because the customers, that’s not -- that’s not their concern, but the industry doesn’t make enough money to absorb raw material increases. So it’s been our practise that if there is enough raw material increases that we think it’s going to materially affect our margins we will take a price increase. But right now, steel is so volatile it went up so fast and it’s coming back down from and we have a current track that we were locked in. I’m not sure where that’s going to be but philosophically if we got a number of raw material increases and it was going to materially change our operating margins we would take a price increase.
Budd Bugatch: Have you done anything so far in fiscal…?
Kurt Darrow: No we don’t have any; because we’ve been protected by longer range contracts we haven’t had the increases yet.
Budd Bugatch: Okay. Well in the past 2007 dividend peaked at I think $0.48 per annual, per annum and looking back at a kind of a normalized payout rate was around 30% right now it’s around 23% or so when you got -- I don’t remember that up heard you enunciate a dividend policy that for investors to expect how you -- how the board might treat dividends on a continuing basis. Is there something that you can share with us?
Mike Riccio: Well I’m not -- there is really no new update there, but I think the challenge for us is we could have a lot of opportunities in the market place for other investments and I think from our shareholders that we talk to, their first priority for us is invest the money in the business and make a better return and grow the business and we don’t want to box ourselves in, so we are -- we’ve raised the dividend in each of the last four years and the business continues to expand. We would -- I wouldn’t think we would get to anything of a flattening out, but then all other judgments, how much do you -- we have a certain amount of cash and how much you are going to put in the business, how much you are going to use to buy back stocks and how much you are going to pay a dividend and we like the fact that we have various options.
Budd Bugatch: Okay and my last question is really in regards to 4-4-5. You as you correctly pointed out you have exceeded now the middle four, one of the fours, I think you have probably said that other fours are more challenging because of real estate markets although I think maybe that’s somewhat loosening. How do you think about that and what’s next after 4-4-5?
Kurt Darrow: Well I think that if you did the math but if acquired in two years our same store, this is hypothetical if our same store was doing $4.3 million or $4.4 million and we only had 375 stores or 380 stores, that would still deliver the $1.6 billion and that is more probable than the 400 stores only doing $4 million. So that’s kind of how we are thinking about the economic value of that. And then again, and then we have half of our business with independent retailers and we are growing with them particularly on the England side. And so we are working on our next set of growth initiatives, we are not quite ready to give any color to that but we understand there’s a point in time where we will not have the opportunity to open 30 stores a year, but that’ a couple of years away and we’ll be ready to go with something else as that kind of winds down.
Budd Bugatch: Any comment as to when the coloring book might be such that give us those in the public arena some of the -- when you put some color to those thoughts?
Kurt Darrow: Yes, really buddy as soon as we figure it out. I don’t have a timeframe probably because there’s lots of things we are doing behind the scenes, we are testing and experimentation and discussions with other people that it has been finalized but we understand there’s our appetite for growth is still big and you can think about another store format, you could think about international expansion, you could think about all kinds of things. We have not made a final determination of where we are going to plant the flag and go*, but we will do something beyond 4-4-5.
Budd Bugatch: Okay. Thank you very much, good luck for this year. Thank you very much.
Kurt Darrow: Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to management for any closing remarks.
Kathy Liebmann: Thank you, everyone for participating this morning and your interest in La-Z-Boy Incorporated. I will be happy to schedule any follow up calls with anyone who has additional questions. Have a great day.
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.